Operator: Good day, and welcome to the SciPlay Fourth Quarter 2019 Results Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Trent Kruse, Senior Vice President, Investor Relation. Please go ahead.
Trent Kruse: Thank you, Operator. Good afternoon, everybody. During today's call, we will discuss our fourth quarter and full year 2019 results and operating performance, followed by a question-and-answer period. With me this morning are Josh Wilson and Mike Cody. Our call today will contain statements that include forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements involve certain risks and uncertainties that could cause actual results to differ materially from those discussed during the call. For information regarding these risks and uncertainties, please refer to our earnings release issued earlier this afternoon, the materials relating to this call posted on our website and our filings with the SEC. We also will discuss certain non-GAAP financial measures. A description of each non-GAAP measure and a reconciliation of each non-GAAP measure to the most directly comparable GAAP measure can be found in our earnings press release as well as in the Investor section on our website. As a reminder, this conference call is being recorded. A replay of this webcast and accompanying materials will be archived in the Investors section of our website at sciplay.com. Also, supplemental reference slides will be posted to our Investor Relations website. While management will not be speaking directly to the slides, these slides are meant to facilitate your review of the company's results and to be used as a reference document following the call. I will now turn the call over to Josh. Josh?
Joshua Wilson: Thanks, Trent. Good afternoon, everyone, and thanks for joining us. 2019 was a great year for SciPlay. We grew our annual revenue by 12%, which beat the industry growth rate by nearly 1.5x. And mobile revenue surpassed $390 million in 2019, setting a new record. In addition, we increased our AEBITDA by 30% to $122 million and generated $93 million of cash from operation. In fact, since our IPO, we have delivered $28 million or 9% in revenue growth and over $26 million or 37% AEBITDA growth. In the fourth quarter, we increased our ARPDAU 9% to $0.50, and average monthly revenue per payer 15% to a quarterly record of $88.06. We had continued strength in our payer conversion rate at 6%. Looking at our portfolio of games, we saw Jackpot Party continue to drive outstanding results and also saw solid growth from Quick Hit, Gold Fish and Monopoly Slots.  The growing popularity of SciPlay apps is reflected in our position as top 3 social games provider and individual game rankings as all 7 of our core games are in the top 200 grossing mobile games across iOS and Google Play. And we are incredibly proud that Jackpot Party continues to climb the ranks and has moved to the #11 highest grossing mobile game on Android regardless of genre, in the December 2019 social gaming monitor report by Eilers & Krejcik. We also moved to the #18 highest grossing mobile game on iOS in the same report. Now while we are pleased with our results in 2019, we see an opportunity for improved operating results going forward. Much of the work is underway with strategic game updates, international pilot testing and enhanced analytics. We remain firmly committed to our goal to be the top casual mobile gaming company in the world. Similar to updates previously implemented in Jackpot Party, we have deployed significant updates across a number of our portfolio gains, including Gold Fish and Monopoly and are beginning to see improved result. We are continuing to enhance our focus on live ops execution to drive engagement and monetization and are migrating analytics to an internal solution to deliver more real-time data and reduce our dependencies on third-party providers.  Also, as previously discussed, we launched our international expansion test in Q4. We are early in our international test, but we are seeing meaningful improvements in retention rates, load times and gameplay dynamics, which are very encouraging. As many of you know, our business is significantly under-penetrated internationally relative to our peers. So international represents a meaningful untapped opportunity for us in our existing and future games. In addition, the team is actively exploring several exciting M&A opportunities, which will allow us to broaden our portfolio beyond Social Casino and leverage our significant capabilities around data-driven user acquisition, engagement and monetization to continue to drive growth. As we look to 2020, our team is eager to execute our winning strategy, explore new growth opportunities, keep improving our games and drive enhanced results. We believe we are in the very early stages of a multiyear revenue growth and earnings expansion cycle at SciPlay, and we couldn't be more excited by our future prospects and opportunities. Now I'll turn the call over to Mike Cody to walk you through the financial information in more detail. Mike?
Michael Cody: Thanks, Josh. In the fourth quarter, we generated $112.9 million in revenue, which included a $6.3 million negative impact from an out-of-period adjustment recorded during the quarter. Absent this correction, we would have met revenue guidance of $470 million to $475 million for the year. Our AEBITDA increased 31% to $32.1 million, which included a $4.4 million negative impact from the adjustment. To add some color, we continually scrutinize our systems, and as we embarked on updating some of our analytics engine, we discovered an issue in scripts we utilized that resulted in immaterial errors in revenue. These errors were immaterial in all prior periods, averaging approximately $0.2 million per quarter over the time frame involved, which includes 2012 until discovery in Q4 2019. Those have been corrected, and we are confident in our processes and controls. Net income was up over 50% to $28.6 million versus $18.7 million in the prior year. Net income margin increased nearly 900 basis points to 25.3% versus 16.4% in the prior year. Sales and marketing expense of $31.3 million represented a 27.7% of revenue, which was down 60 basis points from the prior quarter. We generated $32.7 million in cash provided by operating activity, which includes a $3 million payment related to contingent acquisition consideration. We ended the quarter with $110.6 million in cash, which was an increase of $29.3 million from the third quarter. Our capital expenditures are modest, leading to a high flow-through of AEBITDA to cash. At year-end, our available liquidity, including our undrawn revolver was $261 million, giving us plenty of dry powder.  While we have opportunities to continue to enhance our operations overall, the cash generation and profitability this quarter highlight the uniqueness and strength of our business model. We are excited to leverage our strong balance sheet and evergreen game franchise of -- to grow the business in 2020 and beyond. With that, we're happy to take your questions.
Operator: [Operator Instructions]. Our first questions comes from Bryan Kraft with Deutsche Bank.
Bryan Kraft: I wanted to ask you a couple. I guess, first, you did some rewrites and launched new features, in Gold Fish Casino, Bingo Showdown and MONOPOLY Slots over the past quarter or so. If you could talk about how those are performing? And then also just on the revenue side, you've had good year-over-year growth, but sequentially revenue has been pretty much flat since the first quarter. Can you talk about the revenue outlook in 2020 in light of the multiyear revenue growth cycle, you mentioned in your prepared remarks? And is the growth outlook for 2020, do you think that's more of a front or back-weighted trajectory?
Joshua Wilson: Bryan. So this is Josh. I'll go ahead, and I'm going to answer the first 2, and I'll have Mike go ahead and jump in on the last one. So yes, we -- as we talked about in the past, we rewrote our Gold Fish and our MONOPOLY, both of those launched in Q4 of this year. We started to see very good momentum out of both of those products. And very excited to what we see in 2020 for both. Our Bingo one actually just launched in first quarter of this year. Because it had been in rewrite for that nine months, we weren't releasing features, we're looking at getting our first features out in early Q2 to make Q2. We're seeing the meaningful impact probably hitting in the back half of the year. Quarter-over-quarter revenue throughout the year is probably more looking at, we had multiple technical issues throughout the year, especially in the middle 2 parts of the year, where we had friction across, call it, 4 or 5 of our games. We feel very confident that we have cleaned up all of the problems that we had and that the games are very much in a healthy spot moving forward into 2020.
Michael Cody: Yes. So in terms of talking about 2020 and guidance, we're not going to be providing guidance today. But in 2020, as in all years, we expect to grow faster than the overall market. That's how we run the business and continue to run the business. And just echoing with what Josh said about the path of growth that we expect being greater in the second half of the year.
Operator: Our next question will come from Brian Nowak with Morgan Stanley.
Matthew Bombassei: It's Matt on for Brian. So just first on Jackpot Party. Obviously, it's -- continues to do very well, charting very well, as you mentioned in the prepared remarks. Is that where you're focusing most of your user acquisition dollars? And do you sort of see it as sort of like the key growth driver going forward? And then the second question is just on the revenue impact that you saw in the quarter. So you mentioned again in the prepared remarks you saw in historical quarters about $0.2 million, I think you said, in prior periods, whereas you saw this $6.3 million adjustment in 4Q. What is the reason that the impact on 4Q '19 was so much larger than those other periods?
Joshua Wilson: All right, Matt. I'll go ahead and answer the Jackpot Party one, and then have Mike jump in for the revenue question. So we are very pleased with Jackpot Party and very pleased with the growth that we saw throughout 2019. I think one of the key parts of Jackpot Party is we made an R&D investment to the team to bolster the team to give us multiple shots and goal, and we have had the results of that hit in 2019. We're very excited to be looking at doing that on our second and third largest game in 2020 and expect to see not only Jackpot Party continue to see some market, but our other games doing features such as Jackpot Party is in 2020.
Michael Cody: And then turning to your revenue question about Q4 versus the full year. So the issue started years ago, about approximately 8 years ago, and was slowly accumulating over time. And as you think about it, you've got to also have -- that includes Q1 to Q3 of 2019. So when you make the correction in Q4, that would include everything up through Q3 of 2019. But when you're looking at the full year 2019, Q1 to Q3 of 2019 are technically correct because they're in the right period, so that would make the adjustments smaller for 2019. Does that answer your question?
Matthew Bombassei: Yes. I think it does. And just one follow-up, if I may, on M&A, which you mentioned in the call. Do you see any areas of opportunity outside of Social Casino games?
Michael Cody: Yes, absolutely. As we've mentioned before, we see a lot of opportunity for M&A outside of Social Casino. That's something that we've talked about focusing on and trying to expand our addressable market. Things we've talked about looking at our things that have a simple for loop, similar to our existing games. Genres we've mentioned are match-3, card games, puzzle games, things of that nature that we think we can add value to it with things that we do well, such as user acquisitions, analytics and live ops.
Operator: Our next question will come from Matt Thornton with SunTrust.
Matthew Thornton: Maybe two, if I could, and then just one clarification. First, on -- you talked about M&A. Can you talk a little bit about anything going on in the organic pipeline? Anything in the pipeline? And maybe just any color on just how fast at this point, you think you can kind of turn around the game would be helpful? Secondly, you talked a little bit about some of the new geos. Is that English-only markets? Are we staying there? And is it still just the two titles that you've kind of started testing or any changes on that front? And then just one quick clarification. You talked about growing faster than the market in 2020. Is that the Social Casino market according to Eilers? Just want to make sure that we're on the same page there.
Michael Cody: So yes. I'll do your last question first. This is Mike, by the way. So the market that we peg ourselves against, yes, is the Eilers, Social Casino tracker, which I believe they're estimating market growth to be 7%, roughly. And so that's what we think about when we think about the market.  Geography. Yes, we'd be focused primarily on English-speaking countries first or English as the second language. And that's where we think we have the first opportunity to grow the business from a geography standpoint. And then organic pipeline was your first question. That's something we've talked about in the past, we are always working on games. We always have ideas that we're trying to pursue. We won't talk about when we're going to launch them at this point until we feel really confident we're at a point where we're getting near.
Operator: Our next question will come from Chad Beynon with Macquarie.
Jordan Bender: This is Jordan Bender on for Chad. So in terms of markets where real money gaming is legal, what have you seen from the casual player activity so far? And then looking at those several states, how are you thinking about expectations for states that are looking to legalize?
Joshua Wilson: Yes. So this is Josh. And so far, in each of the states that have released RMG, we've continued to grow. And a couple of internal studies where we looked at New Jersey. New Jersey as a state actually is growing faster than other states for us. So we actually don't see any downside and almost more benefit. I don't have any hard evidence on this. But as RMG becomes more popular in the United States, they advertise our brand. So we get notification of brand awareness from the -- its legalization.
Jordan Bender: And then looking at 2020, how should we think about R&D and your CapEx budget?
Michael Cody: First, starting with the CapEx budget. It's very modest and should be expected to go along a similar trajectory of what you've seen in prior years. We primarily spend our money on capitalized labor. So there's not a lot of other capital for the business from a little bit of hardware and a little bit of expansion for our facilities when we need to. But R&D spend, again, same trajectory, we run about 6% roughly of revenue, which is far below our competitors. We have nice evergreen franchise that's built from -- established by fees so we don't have a need despite our R&D to try and create that new one-hit wonder. We share technology where we can, and we operate in low- to mid-cost locations. So there's all things that contribute to how we keep our R&D cost low, and we expect to continue to do that into the future.
Operator: Our next question comes from Drew Crum with Stifel.
Andrew Crum: Any detail you can share behind the sequential decay in DAU? And then separately, the rate decline for web accelerated in 4Q, should we assume a similar trajectory in 2020, or would you expect that to moderate as you progress through the year?
Joshua Wilson: Thanks, Drew. So our DAU to MAU that we talked about are showed in 2019. A large reason for that was some of the technical friction that we added to our users. This caused our users to not only stop playing, but some of them stopped playing less often per week, which immediately affect DAU. We believe we've corrected these technical problems. So we feel very good that we will start seeing actual stabilizing DAU and growing DAUs throughout 2020.
Michael Cody: The other question you asked was about web decline and the trajectory of it. And I think for us that we're primarily focused on mobile, we spend almost all of our user acquisition dollars on mobile. So I would expect it to continue to decline maybe at a slightly slower rate, but certainly continue the declining impact.
Joshua Wilson: Do you remember that in 2019, we also had the hit of Google deprecating Flash on Chrome, which caused a spike of web decline, that was a onetime.
Michael Cody: Okay. And I guess, one final point on that. As you can talk about, we're focusing more on mobile. We talked about it a little bit in our prepared remarks. But our mobile is almost $400 million and grew over 21% -- or about 21% in the year. So our efforts are paying off where we're focused.
Operator: Our next question comes from Shweta Khajuria with RBC Capital Markets.
Unidentified Analyst: This is Ben [ph] on for Shweta. Just in terms of the ARPDAU trends across the games, could you talk about how your live op strategy has been working to drive monetization of Jackpot Party? And maybe what learnings from your larger games you're using to drive monetization with the newer game?
Joshua Wilson: Yes, Ben. So I think the biggest part or driver that we've seen in ARPDAU growth in Jackpot Party is actually how the metagame all works together to drive higher engagement of our players inside the game. We're getting them to log in more times a week and spend more times a day, which are giving us the opportunity to monetize them more often. This is the major growth from the ARPDAU. It's purely through engagement. And there's 100% learnings that we can take all of this and implement it across all of our games, so we can see that type of engagement spike across the portfolio.
Operator: Our next question will come from Alexia Quadrani with JPMorgan.
Anna Lizzul: This is Anna Lizzul on for Alexia. Just curious, in terms of your games schedule under new launches every 12 to 18 months, is it fair to say that you're more focused now in terms of gamers on Gold Fish Casino and MONOPOLY Slots compared to launching new games? I know you're continuing to look at the M&A pipeline and possibilities of expanding potentially outside of Social Casinos such as puzzles or other card games?
Joshua Wilson: Yes, Anna. So I do think we are constantly evaluating new opportunities and new genres in games that we can go into. I would agree with what you said, we do have an enhanced focus on the R&D teams for our larger games, trying to recreate what we were able to create with Jackpot Party. But it's not at the cost of looking at new opportunities. And we are very, I would say, at this point, diligent about looking at all the M&A opportunities that are out there to help us expand into new genres.
Operator: Our next question comes from Mike Malouf with Craig-Hallum.
Michael Malouf: If I could just kind of drill down a little bit more on the international side. I know that in the fourth quarter, you launched it on a couple of titles. And as you look into 2020, how rapid will you roll out international capability? And do you still think that basically Internet IP mapping that's going to be your biggest risk. Just kind of wondering how that's going too far?
Joshua Wilson: Okay. Thanks, Mike. So as we have talked about in the past, we've rolled out in 2 games. One implementation in 88 Fortunes, 1 implementation in MONOPOLY. We found out the implementation inside of 88 Fortunes did not work, so we actually shut that test off and started focusing on the MONOPOLY test. In the MONOPOLY test, we saw a decrease in latency and increase in retention and an increase in engagement out of our users, but we also did find a couple of bugs in that implementation that we are going to get corrected and then start doing a marketing test on that brand inside of Australia. Because at this point, we haven't had installed at scale to be able to prove out the effect of the marketing. Assuming that test worked as well as the first test did, we will look at expanding on our larger games first and then down to our lower games after that, our smaller games.
Michael Malouf: Okay. So we could see Jackpot Party sometime this summer, if that goes well?
Joshua Wilson: I will not commit to this summer, but I would hope that we see it in 2020.
Michael Malouf: Okay. Great. And then just a question on the acquisition side. It sounds like things continue to heat up there. Are you still looking at different types of acquisitions with regards to size? I think you talked about maybe even lift-outs or small, little acquisitions and all the way up to maybe slightly larger acquisitions. Trying to see where your appetite is these days?
Michael Cody: Yes. Absolutely. We're exactly where we said that we were in the past. We will look at small acquihire of a good team that may not have a product that we could put them on or a slightly larger team that has a product that just hasn't taken off. There's something larger and more transformational if we find the right product mix, the right culture mix, having the right opportunity that we think we can grow. I'd say our appetite is pretty wide, and we'll take every opportunity to kind of look at what's out there.
Operator: Our next question comes from Jeff Cohen with Stephens Inc.
Jeffrey Cohen: So in your slide deck, you called out that the average time to breakeven from install is less than 6 months. Given Social Casino is such as sticky genre, you think there's opportunity for you to probably step up spending on user acquisition to maybe grow the top of the funnel?
Joshua Wilson: Yes. So we've seen amazing returns in our marketing over the, I guess, over the past few years, and it's continued to be great returns even through 2019. When we have better than normal returns, we actually do step on the pedal and invest more. I think we did it a couple of quarters last year where we increased our spend and we got returns that were very, very favorable to us. I think the way that we approach it is if we see that a game is healthy and has a long-term retention that we feel that we can spend into then we do that internally.
Operator: Our next question comes from Michael Ng with Goldman Sachs.
Michael Ng: I just have two. First, can you just describe what the casual games M&A market looks like right now in terms of competition for assets and valuations? And then second, with SciPlay affirming its 35% long-term target, could we expect margins to expand in 2020? And if so, can you provide us with any help around the magnitude there?
Michael Cody: I'll take the margin question first. And so we're not giving guidance on that level. So it's hard for us to tell you an exact number. We've maintained our long-term strategy of going to 35%. And that about all the details we can give you there. M&A environment, certainly, it's a competitive environment. There's always we know of multiple companies who are out looking for acquisitions of their own. We'll continuously seek to find our right fit, and I think we'll be successful when we do.
Operator: Our next question will come from Ryan Gee with Bank of America Merrill Lynch.
Ryan Gee: So first, just clarification on the impact we called out because I think it's masking sort of what went on in the quarter. And then just a follow-up on the KPIs. So when exactly during the quarter did you guys identify this impact because you reported in November and kind of guided maybe with that already in mind. And then if you could drill down deeper, did you say that this was just a change in your revenue recognition policy, no change to bookings? Or was this simply some process that was overstating [indiscernible]? Because I guess what I'm trying to understand is that you as are actually on a lower bookings run rate annual rate going forward [indiscernible]? 
Michael Cody: Yes. So the issue was discovered in Q4. I don't have the exact date in front of me. But you have to think about more of those as a process that was not working correctly. We identified the issue with that process and then fixed that process. So I'm not sure how to kind of answer your question, what clarification you're looking for there.
Ryan Gee: Well, I guess, what I'm just trying to understand is that you're at $113 million in revenue this quarter. Was it simply revenue recognition? Meaning some change in that -- your bookings were higher because of the timing that you can recognize that those bookings over your revenue base will be lower, but the actual bookings going forward is still at the same kind of one level of revenue that you guys have booked in at, excluding this impact.
Michael Cody: Yes. And one thing to think about with us, bookings is not really an issue for us. So it's the time between a person's company -- or makes a purchase and uses our coins. We don't end up with a meaningful difference in deferred revenues, if you even talk about bookings. So there would be really no material difference there at all.
Ryan Gee: Okay. That's helpful. And then just a follow-up on the outlook for KPI to improve in 2020. I guess, is the rebound predicated on something that you guys need to do proactively? Or is the behavior you're already seeing quarter-to-date just improve organically, the rebound in DAUs and MAUs quarter to date?
Joshua Wilson: So I would say that I would look at -- we made steps and changes in our process throughout the fourth quarter of last year to solve for the technical issues that we were having for the middle 2 quarters. We feel very confident that those processes and the output eliminate that. And between that and the new added features that we'll start seeing on each of the games starting in Q1 and Q2, we expect to see the engagement increase, which will fall into the DAU and MAU increasing right afterwards.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Josh Wilson for any closing remark.
Joshua Wilson: Thanks for joining us today. We appreciate your support. The team at SciPlay is incredibly excited about the future strength of our game and untapped growth opportunities we have ahead of us. We are committed to delivering strong results and returns for our shareholders in 2020 and beyond. I look forward to updating you on our continued progress on our next call. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.